Operator: Hello. Welcome to the Blaize Holdings, Inc. Third Quarter 2025 Earnings Conference Call. At this time, all participants are in listen-only mode. After the speaker presentation, there will be a question and answer session. To ask a question during the session, you will need to press star 11 on your telephone. You will then hear an automated message advising your hand has been raised. To withdraw your question, please press star 11 again. Please be advised that today's conference is being recorded. It is now my pleasure to introduce Vernice Pozynski, Investor Relations.
Vernice Pozynski: Before we begin the prepared remarks, we would like to remind you that earlier today, Blaize Holdings, Inc. issued a press release announcing its third quarter 2025 results. Earnings materials are available on the Investor Relations section of Blaize Holdings, Inc.'s website. Today's earnings call and press release reflect management's views as of today only and will include statements related to our competitive position, anticipated industry trends, our business and strategic priorities, our financial outlook, and our revenue guidance for the 2025 and full year 2025. All of which constitute forward-looking statements under the federal securities laws. Actual results may differ materially from those contained in or implied by these forward-looking statements due to risks and uncertainties associated with our business. For a discussion of material risks and other important factors that could impact our actual results, please refer to the company's SEC filings in today's press release. Both of which can be found on our Investor Relations website. Any forward-looking statements that we make on this call are based on assumptions as of today and other than as may be required by law, we undertake no obligation to update these statements as a result of new information or future events. Information discussed on this call concerning Blaize Holdings, Inc.'s industry, competitive position, and the markets in which it operates is based on information from independent industry and research organizations, other third-party sources, and management's estimates. These estimates are derived from publicly available information released by independent industry analysts and other third-party sources, as well as data from Blaize Holdings, Inc.'s internal research. These estimates are based on reasonable assumptions and computations made upon reviewing such data and Blaize Holdings, Inc.'s experience in and knowledge of such industry and markets. By definition, assumptions are subject to uncertainty and risk, which could cause results to differ materially from those expressed in the estimates. During this call, we will discuss certain non-GAAP financial measures. These non-GAAP financial measures should be considered as a supplement to and not a substitute for measures prepared in accordance with GAAP. For a reconciliation of non-GAAP financial measures discussed during this call to the most directly comparable GAAP measure, please refer to today's press release.
Operator: Good afternoon, everyone.
Dinakar Munagala: Thank you for joining us today. Q3 was a breakout quarter for Blaize Holdings, Inc., defined by strong execution, commercial traction, and expanded global visibility. We delivered a solid quarter with revenue of $11.9 million, up 499% from Q2. We further expect the Q4 revenue to double from here. We secured a $30 million investment from Polar Asset Management Partners to support this acceleration following the close of Q3, to scale commercialization and the next generation chip development as we scale into 2026. Together, these results mark a step forward from validation to scale, demonstrating growing customer adoption and investor confidence in Blaize Holdings, Inc.'s strategy and solutions. We strengthened our ecosystem through two new key partnerships. First, we announced a collaboration with Technology Control Company (TCC). Second, we formalized a partnership with Reach Digital, the digital transformation arm of Reach Group, a subsidiary of International Holding Company (IHC), one of the largest investment holdings with a market capitalization of $240 billion. Blaize Holdings, Inc.'s presence on the global stage continues to expand. We participated in the world's most influential innovation forums: the Milken Institute Asia Summit 2025, the GITEX Global 2025 in the Middle East, and the Web Summit 2025 in Europe. Each reinforcing Blaize Holdings, Inc.'s growing role in shaping the future of efficient and deployable AI. Together, these achievements reflect a company executing with discipline and scale and demonstrate validation of the Blaize Holdings, Inc.'s hybrid AI platform through active deployments across key industries and geographies. They also validate the next chapter in AI's evolution, a new paradigm we call practical AI. This marks a turning point for the industry, from large models to practical outcomes, and from dependence on the cloud to sovereign AI infrastructure that organizations can now own and control. We call this next phase practical AI, AI that is useful, deployable, and sustainable at scale. First, practical AI is business-driven and outcome-focused. It solves problems that improve safety, productivity, and efficiency, helping customers optimize cost and create value across sectors such as smart infrastructure, defense, and industrial automation. Enterprises are prioritizing energy-efficient, cost-scalable inference while governments are investing in sovereign AI infrastructure that they can own and operate end-to-end. Second, it is hybrid by design. It combines heterogeneous compute, our graph streaming processor, alongside GPUs and CPUs, giving customers flexibility to choose the right fit hardware for each deployment, balancing performance, cost, and efficiency from cloud to edge. Third, it is efficient. Practical AI delivers a clear total cost of ownership advantage, achieving better performance per watt while reducing energy consumption and maintaining responsiveness. Efficiency defines the economics of AI at scale, enabling sustainable and sovereign deployments that work in the real world. Together, these principles—business-driven, hybrid, and efficient—define what practical AI means to our customers and partners. Let me highlight a few programs that illustrate our progress. First, Starshine Hybrid AI infrastructure, a $120 million collaboration with initial shipments in Q3 2025 and continuing through 2026. The partnership will focus on building AI infrastructure for smart city development, industrial automation, and public services across Asia. Second, TCC, the Saudi Arabia sovereign AI infrastructure announced in September. This partnership positions Blaize Holdings, Inc. as a technology enabler of Saudi Arabia's Vision 2030. TCC is working with us to build hybrid AI infrastructure. Together, we are developing energy-efficient AI systems to accelerate adoption across the kingdom's public safety and infrastructure sectors. Third, EutraSmart Infrastructure. Our AI-powered public safety rollout across India continues to advance. We are fulfilling Yota's purchase order and expect initial deliveries completed this year. Fourth, a new partnership with Reach Group, announced recently at GITEX Global 2025, strengthens Blaize Holdings, Inc.'s position in the Middle East through collaboration on practical AI solutions and regional infrastructure initiatives. Beyond these programs, we continue to expand our engagement worldwide through workshops with data center providers, sovereign operators, and system integrators while advancing proof of concept work in next-generation smart radar, facial recognition, and vision AI. Together, these initiatives strengthen Blaize Holdings, Inc.'s position as a practical, sovereign-ready AI platform partner, helping governments and enterprises deploy AI securely, efficiently, and at scale. On the technology front, Q3 was about execution. We continued the commercial rollout of the Blaize Holdings, Inc. AI platform, integrating hardware, software, and orchestration into one unified stack that simplifies deployment and accelerates time to value. The platform's orchestration layer gives customers flexibility for model packaging, deployment, and optimization across diverse environments. In hybrid AI infrastructure, Blaize Holdings, Inc.'s GSPs and GPUs work together, complementing each other to boost inference performance and power efficiency. At track scale, this combined architecture delivers up to 2.4 times higher performance per rack and up to three times better power efficiency, enabling greater performance per watt and lower total cost in real-world deployments. At GITEX Global 2025, we showcased these capabilities in live demonstrations from city safety analytics and incident detection to autonomous mobility, including ruggedized systems that operate reliably in environments up to 70 degrees Celsius. We are also continuing development of our next-generation chip, working closely with ecosystem partners to extend our leadership in low-power programmable AI. Next, we have strengthened our capital position. Earlier this week, we announced a $30 million private placement investment from Polar Asset Management Partners, reinforcing confidence in Blaize Holdings, Inc.'s long-term strategy and market opportunity. This new funding provides flexibility to advance commercialization, fulfill customer programs, and accelerate next-generation platform development. It positions us to accelerate the future of silicon development, expand ecosystem partnerships, and continue executing with financial discipline. Looking ahead, we expect continued growth momentum in Q4 and into 2026. Our priorities are clear: scale deployments, expand revenue through integrated AI solutions, and advance development of our next-generation GSP architecture. In 2026, our focus turns to global expansion of practical AI, delivering solutions that are efficient, scalable, and sovereign capable. We will deepen partnerships to drive adoption across key sectors such as urban AI, infrastructure build-out, defense, and retail. Our strategy centers on hybrid AI deployments that combine the strengths of Blaize Holdings, Inc.'s GSPs and GPUs across heterogeneous environments, enabling secure, energy-efficient, programmable AI infrastructure. Blaize Holdings, Inc. is helping lead this shift towards real-world, sustainable, and sovereign AI that bridges innovation with impact and turns technology into tangible progress for industries and societies. We reported revenue of $11.9 million for the third quarter, reflecting strong execution and continued growth. With that, I'll turn it over to Harminder Sehmi to walk through the financial highlights and our outlook for the remainder of the year.
Harminder Sehmi: Thank you, Dinakar, and good afternoon, everyone. I'd like to start with a few highlights. We reported $11.9 million of revenue, beating the upper end of our guidance by $400,000. We beat our Q3 adjusted EBITDA loss guidance by $2 million, coming in at $11.1 million. This reflects better than expected execution and stronger operating discipline across the business. And we closed a $30 million financing with Polar Asset Management Partners. I will now move on to reviewing our financial performance for 2025 in more detail and provide guidance for the fourth quarter. The results that I'm sharing today demonstrate our shift from customer validation to growth at scale. This quarter, we delivered our strongest quarter yet with revenue of $11.9 million, which was a sequential increase of 499%. I'm pleased to report that revenue surpassed the upper end of our prior guidance range by $400,000. Approximately $10.4 million of the third quarter revenue was driven by the initial shipments of servers under the Starshine contract into the Asia Pacific region, which we expect to collect in full before the end of the year. Gross margin was 15% this quarter compared to 59% in 2025. As I noted in my remarks last quarter, as expected, initial gross margins related to the Starshine contract would be impacted by the higher component of third-party hardware in the system. Going forward, we're working with Starshine software teams to replace most GPUs in these servers with Blaize Holdings, Inc. GSP cards. This is expected to result in lower average selling prices for customers and improved margins for Blaize Holdings, Inc. in the quarters ahead. We continue to fulfill the Yota purchase order and anticipate that the initial approximately $6 million of revenue contribution will be completed this year. Let's now turn to our third quarter operating expenses, which I will discuss on a non-GAAP basis to exclude stock-based compensation charges. Research and development costs of $6 million were down slightly from $6.4 million in the second quarter and represented a year-over-year increase of 7%. Sales and general and admin costs totaled $8.5 million, largely flat versus the prior quarter and an increase of $3.6 million year-over-year. Blaize Holdings, Inc. remains disciplined on costs as the business grows. Our third quarter adjusted EBITDA loss was $11.1 million, down 1.8 sequentially and marginally up from Q3 of last year. This reflects better than expected execution and stronger operating discipline across the business. Reported net loss in the third quarter of $20.3 million was lower than the $29.6 million net loss for the second quarter. Both include significant non-cash adjustments related to stock-based compensation and fair value charges. The reconciliation between GAAP net loss and adjusted EBITDA is included in our earnings press release. We are very excited about our November 10 announcement of a $30 million private placement financing by Polar. This investment positions Blaize Holdings, Inc. to continue its trajectory of delivering results from contracts in hand, converting pipeline opportunities into new business, and advancing its chip roadmap. We welcome Polar as a long-term anchor investor in Blaize Holdings, Inc. We have also taken advantage of recent strong trading volumes to exercise our right to sell common stock to B. Riley under the committed equity facility signed in July. These initiatives have resulted in a significantly improved cash balance of over $60 million today. Combined with expected inflows from current customer contracts, we believe we're strongly positioned to fund our operations well into 2024. Total revenue for the fourth quarter is expected to be between $21.1 million and $23.1 million, almost doubling our third quarter performance. We anticipate adjusted EBITDA loss to be in the range of $15.6 million to $18.6 million, reflecting the variable nature of next-gen chip costs. The share-based charge and weighted average shares outstanding estimates are provided in our earnings press release. Looking ahead, our pipeline opportunities based on the current generation of silicon remain robust. Approximately $160 million from the Yota and Starshine deals are expected to support our revenue projections over the next six quarters or so. Our partnership with The Kingdom Of Saudi Arabia's Technology Control Company is progressing well. We anticipate initial revenues from delivering ruggedized AI boxes capable of operating in harsh high-temperature environments, and professional services to begin in 2026. We expect our recently announced partnership with Reach Digital to significantly enhance our profile as a provider of practical AI solutions. The Blaize Holdings, Inc. hybrid AI platform is resonating well in the market, and we look forward to providing further updates on customer progress. Let me highlight upcoming events for the financial community. Blaize Holdings, Inc. will be at the Craig Hallum Alpha Select Conference in New York on November 18 and at the Wells Fargo Annual TMT Summit in California on November 19. We look forward to seeing you at these events. Thank you. And with that, we'll now open the line for questions.
Operator: Thank you. As a reminder, to ask a question, you will need to press 11 on your telephone. We ask that you please limit yourself to one question and one follow-up. One moment, please. Our first question comes from the line of Kevin Cassidy with Rosenblatt Securities.
Kevin Cassidy: Hi. Congratulations on the good results and the really strong revenue growth. You know, tied in with this Starshine project, how many more quarters do you think it will be before you start shipping the third-party hardware?
Harminder Sehmi: Hey, Kevin. This is Harminder. So your voice is a little cracky, but let me just repeat what I understood you to say, which is how many more quarters before we start to shift to a GSP-heavy server. Was that right?
Kevin Cassidy: That's right. You know, just when can gross margins start to expand again?
Harminder Sehmi: Yeah. So we expect in the latter part of the second half of next year. Work has been going on with both software teams to create this orchestration layer that allows workloads to seamlessly go across both the GSP and the GPU. So as we start to shift, as that work completes, the servers that will start to ship perhaps in the second quarter onwards will have more GSP components in them.
Kevin Cassidy: Okay. Great. And, yeah, I'm always interested in your next-generation silicon. Can you give us any hints on what you're targeting with that and what will be some of the improvements?
Dinakar Munagala: Sure. I can take this. So as you know, in the key markets that we're in, the majority of the customers, we're actually capturing at the business outcome level. And our software is quite coming to life as well. The whole platformization, orchestration layer, now what this is helping us is taking all of this customer demand and feedback into the definition of the next-generation chip. Certainly, it will be addressing existing video image visual workloads. Also, we're expanding it outside of this into other areas to help us capture a wider set of workloads. So it is a time expansion for us when the silicon comes in. But the good part right now, because we're platformizing and our software is playing a role, it already helps us understand what the customer's needs are. And by adding this next-generation silicon, it further improves our margins. But including things like language models, etcetera, are part of it also there. New kinds of AI that are emerging by being programmable and having the flexibility of our architecture, we're able to address all of that.
Kevin Cassidy: Okay. Great. Thank you.
Operator: Thank you. And our next question comes from the line of Craig Ellis with B. Riley Securities.
Craig Ellis: Yeah. Thanks for taking the question, and congratulations on the momentum in the business, guys. I wanted to start, Dinakar, just following up on comments regarding TCC and Reach. Is it possible for you to help us scope the size of those two deals? And if not in their entirety, help us understand how material they might be to 2026.
Dinakar Munagala: Sure. Happy to. So the interesting thing is both of these are in the Middle East. So let me address the size of the opportunity, not getting into the exact opportunity size, but the market is rapidly growing there. There's a lot of demand for AI solutions and particularly practical AI solutions that can help their cities become safer, the defense entities, and so on. So we're fortunate to have been working with TCC specifically in the Saudi region. And this is all part of the Vision 2030 where they have pretty big plans, you know, we were collaborating on AI solutions there. And Reach is in UAE. So we have solid partners in both these countries. And each of these, as we solidify the contracts, we will start announcing them to the market.
Harminder Sehmi: I don't know if Dinakar wants to add.
Dinakar Munagala: No. No. You covered it. I just want to make one very important point. I mean, the proof points about technology and particularly where we are able to exist in very harsh thermal conditions, we were the only solution that was able to still continue to do high-performance compute at the edge up to 75-degree centigrade temperatures. Right. At a total cost of, you know, you can, of course, put a system together and have lots of extra cooling. And these are the kind of things that are now resonating really well with customers.
Craig Ellis: Exactly. The temperature grade testing was done, and we passed with flying colors. And as Dinakar mentioned, right, they picked the hottest month of the year, which is September. We were literally on the rooftop testing these. So all of those results are helping us, you know, get into the commercialization phase, which is the next step.
Craig Ellis: That sounds like it's very compelling. Proof points for your partners, and it should translate well into what your sales can do in other areas with that deployed. So a follow-up question given the momentum that you have with each of those partners, should we expect there to be meaningful revenue recognition next year? Or will we be in a planning and deployment phase that would precede sales and activity? Just trying to understand when these start to really tip towards revenue-generating partnerships for you.
Harminder Sehmi: So, Craig, as I mentioned in my prepared remarks, I certainly expect that the TCC relationship will start to contribute towards 2026. The exact timing of that, of course, will depend on how the solutions are deployed. Reach Digital is a relatively recent engagement. However, what we're starting to see is that as certain solutions are deployed with one customer, I think the pace at which some of those other customers in the same industry or same vertical and how quickly they adopt should accelerate.
Craig Ellis: That's very helpful. And then just building on that point and going back to Starshine where we are into development from early development, what are your customers learning about the advantages of the system and how is that impacting the pace at which they're choosing to move forward?
Dinakar Munagala: So certainly, hybrid AI is very popular. Which is how we complement GPUs with Blaize Holdings, Inc.'s GSP for the best business outcome and better cost and better operational expenses. So this is certainly resonating. Plus, Blaize Holdings, Inc. is programmable. And therefore, the workloads that can seamlessly move across GPU and GSP is another advantage. So these are the key learnings. And they're applying it to real problems such as smart infrastructure, agriculture, and so on. Right? So this relationship is growing well.
Harminder Sehmi: May I just add one more comment on that, which is the affordability side? If you have a server which is full of GPUs, you know, the reason why margins are low, but also, you know, the customer affordability is impacted. As we start to replace those with the Blaize Holdings, Inc. GSPs, the selling price of that server comes down significantly. And our margins, of course, increase because we don't have to necessarily pass all of that benefit on. And that's where we'll see probably an acceleration of adoption of solutions in 2026.
Craig Ellis: It's a very good point, and ROI is one of the things that I've always found quite resonant with the solution that you're providing. Lastly, for me, I think the last time we spoke in a forum like this, we were talking about a pipeline that would have been quantified at about $725 million. Is that still the right way to look at the pipeline? And any color on where there might be candidates for conversion as we look across the fourth quarter and into early 2026? Thanks, team.
Harminder Sehmi: So the pipeline still remains robust. It's, as you know, it's a living beast. The ones that we expect to convert, we've already talked about. Obviously, we continue to ship on our Starshine contract. We continue to work with Yota. You'll have seen an announcement that enhances their relationship with Yota into the Middle East. Whether that hits 2026 or so on, you know, will depend on how fast we work together. But we feel very strong and confident that the pipeline remains strong, and it's based on currently shipping product. And the more deployments that we start to make, then, as I said, the conversion should accelerate, and we should add more customers that are not in the pipeline today from those verticals into that pipeline. So we'll talk about that more when we do our annual results next year.
Dinakar Munagala: And to your point, the whole ROI is the key metric. What's driving this acceleration. As we engage with one customer and they're seeing the ROI clearly, there's a land and expand within the customer, but also these same solutions are relevant across the entire geography, and we're getting that momentum as well.
Craig Ellis: Excellent. Thanks, guys.
Operator: Thank you. And our next question comes from the line of Richard Shannon with Hallum.
Richard Shannon: Well, thanks, Dinakar and Harminder, for letting me ask a few questions. My first two questions are going to be interrelated, and the first one, Harminder, looks for you to just repeat one of your last comments in your prepared remarks. I think you mentioned something around $160 million from, I believe, added Starshine revenue over the next six quarters. Can you verify that I got that right? And I assume that next six quarters includes the fourth quarter that we're in now to 2027. Is that accurate?
Harminder Sehmi: That's accurate. It's basically the $120 million and the $6 million that we announced a few months ago. And we're starting to deliver on those. And, yes, it includes Q4 of this year. It's across from Q4 of this year.
Richard Shannon: Okay. And my second question is following up on the prior commentary you've had on your calendar '26 revenues. If I got my notes right here, you talked about at least $130 million for next year. Is that a number you're reiterating, or would you change that in any way?
Harminder Sehmi: So we're not changing that at the moment, Richard.
Dinakar Munagala: Okay.
Harminder Sehmi: We feel confident that the minimum is $130 million. Yes.
Richard Shannon: Okay. Perfect. Let's see here. Maybe a question on OpEx. You mentioned your guidance here for an increase in EBITDA loss. You mentioned that's related to the next-gen chip development here. Maybe give us a sense of the degree to which these elevated expenses will continue into next year.
Harminder Sehmi: So I'll start on the numbers, and then maybe, Dinakar, you can add a little bit more. As a fabless company, we benefit from actually the core of the GSP, that design, which is around which we have all of the IP. That core design remains constant across our roadmap. That's number one. So the internal costs of getting additional features, making maybe a chip bigger, etcetera, are disproportionately low. They don't expand linearly, if you will. What we're then left with is the external cost of getting third-party IP, of just having a partner put that IP into our chip. And then, of course, the largest expense is the foundry itself. Those costs, we don't disclose how much those are. They're just commercially sensitive. But they're typically paid over a 20 to 24-month period, generally back-end loaded. And we write these costs off through our P&L. So it's the reason why in Q4, for example, I've got a slightly wider range on my adjusted EBITDA just because certain costs, particularly IP and so on, we have to pay before we can actually start the work. The NRE is generally spread over time. So it will have an impact on 2026, which we've accounted for. We've been very fortunate in the past of having strong partners that allow us some favorable payment terms, and we'll continue to pursue those.
Richard Shannon: Okay. Great. One last question for me. I'll jump out of the line. Dinakar, you've announced a number of partnerships and contracts in the last number of months here. All of them are kind of based in Asia, Southeast Asia, which is interesting and noteworthy here. So I'd love to get a sense from you to the degree to which this is a core focus for you. What's kind of your advantage and what's driven your success there so far? And then to what degree should we expect you to announce Western world or even US-based partnerships and customers in the near future? Thank you.
Dinakar Munagala: Sure. So Asia and the Middle East are areas where there's a lot of new smart developments, etcetera, particularly in the Middle East. As well as Asia has a lot of camera infrastructure that's trying to upgrade. So naturally, there's a good amount of business that's happening there. But our pipeline does span the US as well as North and South America, as well as Europe. In fact, and we will, as we are able to announce, we will. But we've been in smart retail kind of use cases in the Americas. And also smart restaurants where they're looking at using video analytics for better margins and so on. There are other practical AI use cases that are part of our entire platform, hardware plus software, that is undergoing POCs. And as we solidify and start booking revenue, we'll be sure to announce deals in the US as well.
Richard Shannon: Okay. Great. Thank you, guys.
Operator: Our next question comes from the line of Gil Luria with D. A. Davidson.
Gil Luria: Yes. Thank you. Glad I was able to get through. Sounds like you're on track for this year, on track for next year. You're building up the book of business mostly through relationships. So I wanted to ask in terms of the conversion of the pipeline, is the strategy going to be mostly focused on the partners that you're accumulating, or is there more of a thought to also having more direct sales as you have opportunities with bigger customers?
Dinakar Munagala: Thank you, Gil. I can start, and Harminder can add. Most of the large customers that we're engaged with, as they deploy, there is repeat business there. There's an expansion of scope within those customers themselves. And these are pretty large customers. So that opportunity exists. And more importantly, or equally important, the use case that we are perfecting with this one particular customer is relevant across the geography. Like, what we do in Saudi Arabia is relevant for, let's say, Qatar, and others. So there is an expansion within the geography as well. Especially the example that Harminder gave. We're able to withstand harsh temperatures, outdoor settings, and deliver smart infrastructure use cases. And there's massive construction that's happening there. So there is both within the customer and across. And some of these engagements, which are at various stages of POCs, etcetera, are with large direct customers. And while we can't name them today, as these get solidified, we will. So the answer is we have both channel as well as direct.
Gil Luria: So you've mentioned it now two or three times, so I have to ask how hot was it on the roof in Saudi?
Dinakar Munagala: It went to almost, I think, north of 80 degrees centigrade, I think is what we ended up with. Yeah, it was very hot.
Gil Luria: Well, that's some commitment on your part. That's founder mode. Appreciate it. Thank you.
Operator: Thank you. And our next question comes from the line of Scott Searle with Roth.
Scott Searle: Hey, good afternoon. Thanks for taking my questions. Maybe just to quickly follow-up on the qualified pipeline. I don't think you gave a number, but I'm wondering if you could just provide directionally, has it continued to increase and the diversity of that pipeline, has it continued to expand? I would imagine given some of the announcements you've made, it's getting a little bit more diverse. And, also, as part of that, looking at some of those qualified opportunities, are these more GSP-heavy deployments out of the gate so we would expect as you convert and deploy, that these should have higher gross margins at the start of the contracts? And then I had a follow-up.
Harminder Sehmi: Okay. So the pipeline, the way we look at the pipeline, there is a gross pipeline which is a significant pipeline. It's what when we first qualify opportunities, we say, okay. What's the likely outcome over the next two to three years from this customer or from these groups of customers? And then, what changes for us is depending on which customer is working faster or slower through the POC process, it allows us to put a higher percentage weighting, if you like, in terms of when things will close. So when I stand back, the $725 million number, anything that was not imminent was already out of that number. What I have not done yet is, some of the new engagement that we've got. We've got some high-level indications of what these might mean for us over the next couple of years. But when we do our annual results announcement next year, we'll provide a lot more detail around conversion and so on. The second thing to say is the Starshine deal is probably the only one in the pipeline where we are doing within the same box replacement of a GPU. And that's where the margins are lower and they'll become higher. If you look at some of the other deals that we've got, our servers are coexisting with the GPU server in a data center. And so that server is full of Blaize Holdings, Inc. cards. And it has Blaize Holdings, Inc. software on it. So in, for example, the Yota one we talked about, 15% of that being software revenues. So it kind of depends, but more Starshine happens today, happens to be the only one where we are at this low margin going up to higher margin.
Dinakar Munagala: So the only other thing I'd add is that besides the existing smart infrastructure and defense, the industrial automation is something that's coming up. You asked us about trends in which areas. And the kind of adoption that's happening is including the software platformization, the software layer that we have. And that means higher margins as well for us in those outcomes where we participate with the customer at the business outcome level. So those are all helping us at the platform level consuming a software plus or Blaize Holdings, Inc. service.
Scott Searle: Okay. Very helpful. Thank you. And if I could just a question on the competitive landscape. You guys have done a good job of not only from a product standpoint, but developing the ecosystem around it, is driving that opportunity set. I'm wondering what you're seeing out there as you're going to customers. Is the competitive landscape getting a little bit more competitive or thinning? You guys have certainly been able to go out and raise capital. But I think they lack the ecosystem development around that. So I'm just kind of wondering what you're seeing out there in the trenches in terms of the competitive landscape. Thanks.
Dinakar Munagala: That's a very good observation. The topic is very important because it solves the end application. And in that category, customers typically prototype on GPUs even when it comes to actual deployment CapEx and OpEx budgets are very critical, especially in the world of in the physical world, you know. And therefore, complementing Blaize Holdings, Inc. servers is the way to go. That's how they achieve their CapEx results and within operational margins. So and coming to competition, right, the productized solutions that exist pretty much there's a couple of names, big handful of names we come across. It's and customers we are the places we're winning, it's because of our rather combined advantage that we bring to the table in terms of TCO advantage, with, you know, helping them with the CapEx and OpEx. And fully productized. So in that area, we don't come across, you know, because we're at the business outcome level. That's what Blaize Holdings, Inc. gets picked.
Harminder Sehmi: Yeah. The keyword there, Scott, is programmability. There are other competitive solutions that might do one or two things. And what we've realized is that whilst there may be a place for that in certain parts of the market, but the kind of customers that want to deploy AI at scale want it to be a customizable, programmable solution. Right? So no longer are we having a conversation, you know, how many tops do you have on your card? It is can I run my real-world application at a cost that makes sense for me? And if you're, by the way, a tier two cloud service provider who's making zero money today by running all of your infrastructure on GPUs. Well, you know, with working with Blaize Holdings, Inc., you now have a chance, more than a chance, of providing services to customers and making money.
Scott Searle: Great. Thanks so much.
Operator: Thank you. I'll now hand the call back over to Dinakar Munagala for any closing remarks.
Dinakar Munagala: Before we close, I wanted to share a few quick highlights of this quarter. We delivered $11.9 million in revenue, beating the upper end of our guidance and marking a 499% sequential increase. We're confident that Q4 revenue will reach nearly double our Q3 performance, reflecting strong momentum heading into 2026. Excluding non-cash adjustments, we beat our Q3 adjusted EBITDA guidance by $2 million, reflecting stronger execution and operational discipline across the business. We began initial shipments under the Starshine contract into the APAC region, which we expect to collect in full before the end of the year. We closed a $30 million investment with Polar to accelerate commercialization, next-generation chip development, and expansion across key markets. Finally, I want to recognize our team for winning second place at the Milestone Systems Developer Summit in Copenhagen today with our emergency first responder VLN. It's a great example of how Blaize Holdings, Inc. technology is making cities safer and smarter through innovation. You can find the award-winning video demonstration on our Blaize Holdings, Inc. AI YouTube channel. Thank you to our customers, partners, and investors for your continued confidence. We're proud of what we've achieved this quarter and even more excited about what's ahead. Thank you.
Operator: Ladies and gentlemen, thank you for participating. This does conclude today's program, and you may now disconnect.